Operator: Good evening, ladies and gentlemen. Thank you for joining this telephone conference of ORIX Corporation for the first quarter consolidated financial results for the 3-month period ended at June 30th, 2017. The attendees at today's conference are Deputy President and CFO Mr. Kojima; Corporate Executive Vice President and Head of Treasury and Accounting Headquarters Mr. Agata; and Corporate Senior Vice President and Deputy Head of Treasury and Accounting Headquarters Mr. Kato. Mr. Kojima will give you a presentation on the first quarter financial results for about 20 minutes and we will move on to a Q&A session. The whole conference will take about an hour. At this time, I would like to turn this call over to Mr. Kojima. Mr. Kojima, please go ahead. 
Kazuo Kojima: Thank you. Now this is Kojima speaking, I am the group CFO. First one of all, I would like to thank you for your precious time despite your busy schedule attending this teleconference. Thank you indeed for your precious time again. With that said, then I would like to start my [indiscernible] looking into the first quarter results and for the fiscal year ending March 2018.
 Please refer to Page 1, the overview page, please. This is an overview one and the net income as well as an ROE. The net income for the first quarter was JPY 89.7 billion. That was up 17% year-on-year or in terms of the annualizing based ROE that became 14.3%. We have indeed on return goal, ROE 11%. So we are able to actually surpassing that target. We have gains from the sale of real estate as well as in the PE investment. We have on a constant contributions particularly these segments and also the existing business operations, we enjoy the stable continuing operations pushing up our profit.
 We are on target to achieve JPY 300 billion for the fiscal year March 2018. We started on that journey of ours, actually our progress has been 300% so far, so we had a very good start. Would you kindly turn 1 page and this shows the segment assets as well as ROA on assets. The total for segment asset was JPY 134 billion, year-on-year basis actually up 17%. Overseas, so the retail, and the real estate segment we have big growth in profit and also Corporate Financial Services as well as in Maintenance Leasing services gave us good growth. In terms of Investment and Operations for this first quarter, the domestic private equity [indiscernible] did not take place partly due to that. Of course the number came down because of that, but environment and energy business and the position of the business actually grew quite steadily helping us to improve the profit.
 Please turn to the next page, please. This is the overview looking into the segment assets as well as on ROA change, allow me to explain these matters. For the quarter, segment asset stood at JPY 8,901,300,000,000 and compared with the segment 3 months ago end of previous fiscal year compared with that, it went down by 1%. In the meantime in regard to segment assets ROA that became 4%, it grew to 4%.
 Next, the retail segment ORIX Bank and the increase in corporate finance services and also in ORIX Life sold investment securities making a shift toward the cash and also former Hartford Life declined in run-off asset. So for business segment and it went down by 3% in the year-to-date.
 Looking at Overseas segment. Aircraft and the ship related the new investments since the end of last fiscal year, actually it went up by 2%.
 Now I would like to cover in overview #3. What you see here is pretax profits as well as segment assets ups and downs. I would like to now go through the highlights. Please look at in the left hand of the chart, this describes the income before tax. In terms of the pretax profit, year-on-year basis actually it grew by JPY 17.2 billion. Of that, the existing business grew JPY 10.5 billion. Major factors then are including, first concession business, the profit we are able to generate and also the -- we had gains -- increased gains from the private equity investment and also we were able to grow on the environment and energy related business.
 Next, I would like to look into the gains from the sale. The first, sale of the securities, JPY 27.5 billion but in the previous year it was JPY 30.3 billion, so down JPY 2.8 billion but the gain from the real estate sale JPY 29.3 billion therefore in the previous year actually JPY 18.4 billion, so it grew almost JPY 10 billion, for your information. Looking at the total numbers, so now we had a growth.
 Looking at the FX impact and actually it was a negative JPY 1.5 billion in terms of FX impact. And in terms of the sales gains from the investment securities, in Korea we had -- in private equity investment, so we had an exit from that and also in the United States, Houlihan equities and part of the Houlihan securities were sold and also we sold all the municipal bonds [ SNPS ], they are other major ones. As for the real estate and office buildings as well as the logistics facilities, we only got gains from those in sales.
 Next, please kindly look at the segment asset changes on the right hand side. In terms of segment assets year-to-date actually went down JPY 55.5 billion. The JPY 54.5 billion on the side of the existing business, it grew. But as shown in this chart in the United States we had the securitization done and also on ex-Hartford Life of run off on asset declined. And also we have sold investors and also we sold some of the real estate assets, so all in all down JPY 55.5 billion. And furthermore, in regard to this year FX impact, first euro, euro now appreciated pushing down the value of the Japanese yen, JPY 15.6 billion increase.
 And moving on to the next page and I'd like to actually go through the details of the segment and results, and please turn to Page 5. First I would like to explain corporate financial services. This segment's profit grew 20% year-over-year basis and actually becoming JPY 10.2 billion.
 We wanted to be choosing in picking up on the transactions, loans and then finance and leasing. The balance term went down so finance revenue came down because of that. At the same time, in services revenues year-on-year basis and actually it grew by another JPY 200 million. We have sold some of the investment securities and actually in total it shows a growth JPY 1.7 billion in terms of profit. And moving on to then segment assets, corporate financing went down that pushed down 2% becoming the JPY 1,007,400,000,000 year-to-date.
 Next page, please. Here I now like to go through the highlights of the maintenance lease segment. Certainly the profit shows almost flat from the previous fiscal year and becoming JPY 9.9 billion. Both in the leasing, the new contracts grew, yes it grew from the previous year and financial service revenue as well in operating lease and actually profit grew because of that. In regard to operating lease, it does include the number from the sales of used cars, actually it went down. So for the entire segment and for profit, it's been flat, almost flat. The segment assets ordinarily saw new contracts continued to grow because of that and from year-to-date performance was JPY 759.6 billion, up 1%.
 And please we go on to next page, next page is the real estate. In this segment profit is the increase of the 39% versus previous term to become JPY 32.8 billion. In the real estate, some of the sales proceeds of the sales gained from the sales of the real asset has increased. Also hotels and Japanese [indiscernible] operation included, this is included in the services income. Services income has also increased by approximately JPY 1.3 billion compared to the same term previous year. So in segment assets even though there was the sales of the assets but also there was some new increase almost flat to the previous year the JPY 655.9 billion is the segment asset.
 Next page, please. This is the investment and the operation. In the segment profit, it became JPY 16.7 billion, which has declined by 46% compared to the previous year. The same term previous year, because of the private equity investment exit, the sale of the existing investment and also accounting the bargain purchase profit accompanying with the private equity investment, new private equity investment there was an increase in the previous year, but however in this year it has been declined because of that. However, it has increased in the previous term more than JPY 20 billion, but now it is more than JPY 1 billion level so almost [indiscernible] several billion yen level. 
 On the other hand, we had the environmental energy business and concession business, have increased its profit through contribution and so therefore it has increased. In terms of the environmental energy business, there have been an increase of the mega solar operations and also expansion of the retail of the electric power. It has been expanding. In 2017, June 2017 domestic solar power generation business we have the total project which included we have secured totals up to 990 megawatt and also already operating in total is approximately 640 megawatt in concession business because of the initial expenses we accounted in the previous year and the taken in and so therefore more than JPY 1 billion red ink in the previous year. But in this year, in this term it has contributed the profit of approximately JPY 2 billion in pretax accounting. In the segment assets, due to the sales of securities, it has declined, but because of the environmental energy business it has increased which is almost flat equal to the previous term. At the end of previous quarter, it has reached JPY 768.4 billion in terms of the environmental energy business increase and segment assets.
 Please look at the next page, retail segment. In retail segment, segment profit became JPY 22 billion, which is an increase of 76% from the previous year same term. In ORIX Life because of the new business, new policy increase, increase of the premium income of the Life business and also ORIX Bank's the profit from the financial profits has increased as well, has contributed to the profit increase. Also Hartford Life also has shown, it was in the red ink in the previous year, but now it has converted itself to be profitable this year. That was the reason for that increase. 
 In ORIX Life, in end of April 2017, it has reached 3.5 million policies, policies in force for the individual insurance. After it reached the 3 million, only -- it took 11 months to reach 3.5 million policies so therefore it is accelerating its growth pace. In the segment asset compared to the previous quarter, the 3% decline it became JPY 3.2017 trillion. In existing business Life Insurance numbers of policy are increasing and also the banks the loans are increasing as well. On the other hand in ORIX Life sales of the ORIX Life debt and also run-off assets decline of the old Hartford Life therefore in total it was a total 3% decline compared to the previous term.
 Please look at next page, the last segment, overseas segment. Segment profit it became JPY 42.9 billion compared to the previous terms of the increase of 44%. There was an exit from the Asian private equity investment projects and also some partial divestiture or the sales of the Houlihan equity and also some capital gains of the -- in the say some of the securities in Americas and also some of the existing business increase have resulted and contributed to the profit increase. In terms of segment assets compared to the previous term, at the end of the previous term 2% increase, it reached JPY 2.5083 trillion. In the Americas for USA, the assets has declined due to the sales of the securities, but the asset has increased due to the good sound business investment centering -- focusing on the aircraft and the ships.
 Please look at the next page. In the 3 classification, we would like to show you the performances, the details of the 3 classifications please look at the Page 31 of this document for reference. In this graph these values, numbers is the excluded numbers are the old Hartford Life, the profit and loss, and also the sales proceeds from the Houlihan and those increase or decline have been excluded from these actual -- in these numbers, in actual numbers. In finance, it is almost flat to the previous term and a slight decline in the profit. In itself, in Japan, we have increased the profit due to the -- in the area of the bank's credit and corporate finance, but outside of Japan in Asia, Australia and also in Americas finance related profit income has declined. So compared to previous term, there has been a slight decline from previous term.
 In business operations compared to previous year, it has increased significantly. In the environment the infrastructure include the environment, energy and concession and also life insurance which is included in the financial services and also Robeco contributes to its profit as well, and also due to the financial service in the USA are expanding as well. So therefore ROA has increased from the previous year's 4.5% to the 5.5% this year. In the investment gains rather, there was really any profit increase included in the in-kind investment because of the good profit taking from the real estate and also aircraft. However, due to the gains from the equity investment, has declined compared to the previous term. Therefore it resulted in almost flat but a slight decline. So in total, we had focused on the business has increased and that is the area of the businesses that we focus on have shown some good results, so increase.
 So lastly, I just want to summaries, summary page. In the first quarter, Q1 net income achieved JPY 89.7 billion, up a record high quarterly income, record high and the annualized ROE reached at 14.3%, 14% is a very good start. And we'll focus -- continue to focus on operation and investment and also executing the new investment and also the sales of the existing portfolio to establish the steady, stable profit cycle, so that we want to achieve the JPY 300 billion which is a target of the -- a net income target of JPY 300 billion in March 2018.
 That concludes my presentation. Thank you. 
Operator: Thank you, Mr. Kojima. We are now ready for the Q&A session. [Operator Instructions] Our first question today comes Mr. Muraki from Deutsche Securities. 
Masao Muraki: Two questions from me. The first question concerning the real estate and on equity method actually about JPY 20 billion and rentals and facilities actually sold JPY 8 billion if I am in the wrong. And [indiscernible] center building and besides that, actually what kind of expectation you have and out of this gain, out of the sales of those real estate facilities. My second question is concerning the planned investment outside of Japan. You have sold quite large amount of investment securities and I wonder if you could go through the assumption you have in background and particularly in terms of the interest rates. And also the geothermal development company, you have made investment as much as JPY 70 billion and also in traffic transportation, also business plan you have. So besides the investment securities, well President Trump when he took up the presidency you could have had some of positive growth opportunities but what has been the latest updates in particular in this segmentation please. 
Unknown Executive: Masao, thank you indeed for your questions. I like to first make my response into the real estate question the question you have just raised. First, in equity investment, yes [indiscernible] central building actually has been having the lion's share and we have sold it our equity gone for the 50% meaning the 50% goes to other businesses, other companies. So that sales has given us the large positive contributions in terms of profit. And the remaining things go to many, many things but major ones I would say in logistics facilities and also in office buildings in a nutshell. Did I answer your questions. 
Masao Muraki: If I may in regard to the real estate related questions. The investment actually in a total actually has increased JPY 15 billion according to this information? 
Unknown Executive: Well on the [indiscernible], actually dividend and has been outside the period in question. That is why that's the reason. 
Masao Muraki: Now I got it. 
Unknown Executive: And moving on to around the expectations and holding overseas business opportunities, well several points. First point is that we have sold investment securities in the United States. In the fourth quarter in the previous fiscal year, we actually increased the investment securities portfolio but since starting from April of this year, the interest rates in the United States and it started to coming down and pushing up the corporate securities. So with that point in mind, CMBS for example and also the municipality bonds, and actually we decide to sell part of those assets we used to have. But going forward, of course, we have to keep an eye on what is going on in the market places but in principle we are going to increase our corporate bonds. 
 And in regard to the question on the geothermal activities and that was executed back in July. And in terms of its contribution to the profit for this current fiscal year and due to the interest rates now, we haven't actually give more priorities to spend. So with this point in mind and probably on the profit contribution out of this and it can be expected probably in the earliest time in the next fiscal year. Actually on this, this is the investment vis-Ã -vis the environment and energy, so it is environment and energy [ group ] and went ahead of all this certain investments and including the investment into the wind power generation in India just to help your understanding. And looking at overall, well in private equity landscape particularly in the United States the so-called roads companies and also the water supply service providers and others. Yes, we have invested into these entities and I believe that we are going to keep to have these things in the pipeline, definitely and going forward we are going to keep investing into this big areas. Did I answer your question? 
Masao Muraki: Thank you indeed. I got them clearly, thank you. 
Operator: Thank you for your question. Next question comes Mr. Watanabe, from Daiwa Securities, Mr. Watanabe, please go ahead. 
Kazuki Watanabe: I have another question, first question is in your investment in real estate. The capital gains pipeline -- the sales schedule of your hotels by the end of this year, do you still believe that you can sell them by the end of this year? From the investment perspective by the hotel, the segment asset is in a tendency to decline, but the large projects investment, what about the other opportunities of the investment in buying businesses. For the next term, mid-term plan, is there any KPI or any directions in the timing of the half year closing? How much as you will be able to talk about that, I have 2 questions. 
Unknown Executive: Watanabe San, thank you for your question. First of all in terms of real estate business, in the sales of the hotel, we are considering that. Whether we are going to do that this term or not we have not decided yet. However in total, in this period there are several projects has been already running, specifically speaking in July for example, in Hakone, the [ 160 ] room resort hotel in Hakone was just opened and also in the beginning of next year January, the hotel in Ginza is going to be opened. So the portfolio of the -- some of the replacement of the portfolio -- some of them are hotel assets, is going to be sold. Whether we are going to do that this year or not, is not clear. However, in terms of the intermediate financial closing, in half year closing, we will talk about the next 3-year perspective outlook, we will mention and that is the Mr. Inoue who is the CEO, have mentioned that in the previous explanation meeting, what would be the KPI, what would be the target, is now under discussion today, so under discussion. So please wait for a while before we make those numbers to be announced. 
Operator: Thank you for your question. Next question comes from Mr. Tsujino, from J.P. Morgan Securities. 
Natsumu Tsujino: I would like to double check on several numbers, so Kansai airport profit contribution for this quarter in question, how much was it? My second question is on the side of retail side. Gains from the sales of the corporate bonds, I think it appears to be rather large, more than JPY 10 billion. Please correct me if I am wrong. What's been sales gain? If you could be more specific what is this number, I should be able to cover you very well. And the fourth question is aircraft and ship and actually it went up by JPY 47.5 billion. It sounds like kind of big increase, so if you can give us more details on why all of a sudden you are able to increase the number overnight. For example, delivery of ships order I think is yet to come, right? So with that point in mind, if you could excuse me in these areas, and I would appreciate that a lot. 
Unknown Executive: Thank you, Mr. Tsujino, I would like to go one by one, first so the Kansai International Airport, allow me to give you just the numbers so the first quarter last year, it was in the narrative JPY 1.3 billion and this fiscal a positive JPY 2 billion. So, JPY 3.3 billion growth in terms of profit. Actually as we have already explained this matter and last time in the previous quarter and it is going -- we had an expenditure and in the -- for the 3 months to come, that made a negative contributions, so -- and moving on. If I may, I would like to come back to the retail question because my staff are double checking on the details. So allow me to move on to the question on the overseas and global aircraft business so several points first. 
 Aircraft, in this, in the first quarter, and growth was JPY 44 billion. We have already contracts signed up, delivery of those aircraft and took place behind that number. And recently in terms of the portfolio -- there are increased number of cases and in buying portfolio of aircrafts, not on a one by one but say buying in 10 aircrafts because of that there could be ups and downs. But in the first quarter we had a large number and then in ship business up by JPY 30 billion. Let me further expand on this, last year we had the same operations particularly the European banks, the so called ship related loans and portfolio and was acquired with certain discount. And the next with regard to the retail question, and when you go to retail side yes, again from corporate bonds and sales probably it is going to be around JPY 2 billion round. So that was on a typical sales of the corporate bonds, it is not a special kind. Did I answer your question? 
Natsumu Tsujino: May I? If that's the case, again the retail profit, I am looking at the retail profit. The Hartford JPY 3 billion, right JPY 3 billion and more than JPY 3 billion at Hartford, the corporate bonds and sales, JPY 2 billion plus. So I wondered if you could expand on that aspect. It seems to me that on the debt the number seems to be way too big. 
Unknown Executive: But let me look at Hartford -- let me explain Hartford, in terms of the increase, the magnitude of profit, in the first quarter last year it was a negative of JPY 5.2 billion and this first quarter it became JPY 1.8 billion, so comparing these 2 numbers it was on a growth of JPY 7 billion in terms of the profit. 
Natsumu Tsujino: I see, JPY 1.8 billion. Okay then, if that's the case, JPY 1.8 billion and minus JPY 2 billion plus, still retail side more than JPY 20 billion, that's the bottom line I am getting out of this calculation, am I right? 
Unknown Executive: Well, let me go here. If I may, I would like to come back to this issue later because we need to receive more questions from the other participants, if you don't mind. 
Natsumu Tsujino: Yes. 
Operator: Thank you for your question the next question comes from Mr. Raj Chaudhary from Odey Asset Management. 
Rajesh Chaudhary: I have 2 questions relating to Page 11 in the presentation. The first one is in the finance segment; we can see that in absolute terms the contribution from outside Japan was down year-on-year in Q1, could you explain some of the items within that and what's been happening and what we should expect going forward? That's the first question. 
Unknown Executive: In the 3 classification, which is finance in the finance segment, right, and basically speaking in the finance segment, in Japan as we have explained before in the corporate finance there we have an intent to increase the service income for the banks and credits. We will continue to increase the assets therefore by increasing the profits as well. In overseas local companies, in the first quarter this year, in the first quarter there was the -â€" became the negative number, the performance but the asset itself in Asian with these company are increasing in terms of assets. So, in total in the full year we should be able to record and realize some profits in a full year. 
 In [ OUC ] in the Americas, there is some issue of the [ CLO ] as we get some profits earlier and also asset to -- so there we found fluctuation due to the asset decline and so it's difficult to predict. But as I mentioned earlier in the USA, in total we intend to increase the asset in total in USA. That is our strategy. So, therefore, at minimum we should be able to keep it flat with the previous period, but in the finance, that profitability or no it's not that high. It's about 1.8% of ROA. So, it is not the area to drive the significant profit. We have to increase the JPY 20 billion or more with that type of growth business that we want to work on those profit growth business that we want to focus on. Is that okay? Did it answer your question? 
Rajesh Chaudhary: I understand. I understand this is not a high ROA segment. But you just saying there is no jump in credit costs or anything like due to the non-repeat of the CLO related profits. 
Unknown Executive: Yes. 
Rajesh Chaudhary: Okay. So, my second question if I can is on the same page. In the operations segment, you mentioned the increase in profits from environment and infrastructure. Could you -- it seems like quite a big jump. Could you perhaps explain maybe which concessions or which areas are contributing out and whether this is now on a sustainable basis? 
Unknown Executive: In the operation category segment, in terms of its subcategory, we have environmental infrastructure that has -- we'd also expect that the renewable energy power generation is going to increase. So, the profit has been increasing but there's also, in terms of the profits number, from the red ink to the making profit in the concession business for both environmental infrastructure as a concession now it's profits of about JPY 5 billion profit. In terms of the life insurance, due to the Hartford there was the JPY 7 billion, Hartford. However, with the audit life policy have been increasing and that has also contributed to about more than JPY 1 billion increase of the profits. But the biggest number portion coming from in the U.S. so-called asset management business in debt capital and minor and asset management capital, that profit in that business has increased and also free hand [indiscernible] some portion divesture of sales of the equity of the [indiscernible] free hand and that also has contributed to the profit increase. In case of Robeco, we also have seen the profit increase. So, in that sense it is not the one single item which is significantly larger in the profit but there is more than JPY 1 billion some profits has been accumulated. So, therefore in total, we have increased the profits of about JPY 20 billion. Okay? 
Operator: Thank you for your questions. Next question comes from Mr. Sasaki from Merrill Lynch Japan Securities. 
Futoshi Sasaki: I have 2 questions if you please just get me. The first question concerning your operations in the United States. All right you are having order days in auto, in finance and other than that you have any activities going on in the United States. And the used cars prices come down and some of the vendors said to and get rid of again assets and what kind of impact these things may have on new business opportunities. And my second question concerning the concessions business and on the Kobe Airport. I think EBITDA there is negative if I'm not wrong. So even if you [indiscernible] you are expected to really make a profit. 
Unknown Executive: Now concerning -- your questions concerning USA and auto leasing related on a business we do not have in those businesses going on in the United States and therefore we are not going to be affected by the market. And that said, in the past, of course we had truck leasing. The activities and that we are not having those activities at all in the United States. Concerning the Kobe Airport, yes. And we believe in profit opportunities and that is why we decided to go for it. The scale of the audit is going to be in several 100s of yen even in the first year according to our business plan. In terms of the upside opportunities there and they are in a number of the total landing and also in the taking up it's been limited at 60 per day, 60 flights, but again on capacity wise they still have some capabilities. So, 60 flights per day. That's been the maximum framework if that is going to get further extended of -- yes we can get to see -- we should be able to and chase after the upside opportunities. Did I answer your question? 
Unknown Executive: May I? Concerning the very first question no auto business going on in the United States, but you may go through what I said in the outcome in terms of the securitization and after buying those cars and you may wish to make a profit. Well, I have to admit that I am not 100% sure what we have in the pipeline. You are asking question about the car leasing. Actually I am not aware of any those deals right now in the United States. 
Operator: Thank you for your questions. Next question comes from Mr. Niwa from Citigroup Securities. 
Koichi Niwa: In the first quarter, in your first quarter, this term plan, in the previous explanation meeting, is about JPY 100 billion capital gain but how much do you think there is an increase from the JPY 100 billion in terms of the capital gains? My second question, base profits is going to increase by 20%, that was your plan. And how much the base profits has been actually increasing? 
Unknown Executive: If you look at Page 4, pretax profits in terms of the different elements, the sales -- of the sales of the real estate is about more than JPY 20 billion -- JPY 20-some billion, in total it is about JPY 56 billion in total of those sales. So as we have planned about 50% of what we have originally planned, we are able to sell and account them in our accounting, in terms of the sales and profit. For the existing business, in organic growth we are going to do in this first quarter is the JPY 10.5 billion, but I think we should have more I think, but as it also depends on how much we can sell and also in existing is about JPY 50 billion or JPY 60 billion increase then the JPY 300 billion profits and also the sales are proceeds of the JPY 100 billion. 
Koichi Niwa: In terms of â€" I would like to ask additional question on your capital gain. In the full year plan, so it is increasing -â€" is it according your plan for the full year or is your plan to be very conservative and the -- what is the current status. And relating to that current situation, how much capital gain do you think -- your sense of direction, what is going to happen in the future? 
Unknown Executive: Well, I mean, the sales of equity, we are â€" as we have been doing as we have originally planned, but for the sales proceeds from the sales of the real estate property because of real estate market changes or it is rather strong despite our expectation, so it is exceeding -- we are getting more profits from the sales of the real estate. 
Operator: Thank you for your question. Next question comes from [ Mr. Sako ] from Mizuho Securities. 
Toshiharu Sako: Actually I have one major question. On Page 4, and in on the detail on the numbers, and in terms of the pretax and the profit, JPY 100 billion capital gain was -- which was to that kind of number. And so, if you double check on this -- that number pretax or not, and then looking at the JPY 10.5 billion from the existing business contributions they had for the Life and they are about JPY 7 billion, and also in environment and infrastructure JPY 5 billion growth in profit. Whether or not these numbers are included in the number on Page 4, if that's the case if they are included, a gain on probably negative contributions and among the existing operations, if they â€"- whether or not my understanding here is right, whether or not they are about negative contributions from the existing businesses, please? 
Unknown Executive: Well, looking at existing operations, well I have just explained early on, but again on real estate taking about a negative item, and I don't -â€" real estate business, what I would like to know [indiscernible], again I am talking about rentals, the apartments being sold in the market. [Indiscernible] compared within the previous year, so the real estate in a profit â€"- and the total profit grew up, but exploring capital gain to the exact -- on the rentals and the facilities went down and are pushing down the number there. And besides that, the overseas, went down by one digit JPY 100 million. And land sales in Australia took place, and that was source of the profit in the previous fiscal year but this fiscal year, no that is lacking. So again our overall impact is not that large, so that's the only thing I can think about. Did I answer your question? 
Toshiharu Sako: And I like to double check on the following points, our concern in capital gain? 
Unknown Executive: Yes that's right. My apologies, I was talking about capital gain on before income tax, not after income tax, JPY 100 billion which was to that number that was a pretax the number, yes JPY 100 billion. 
Toshiharu Sako: If that's the case, then I think I got it. Thank you. 
Operator: This concludes the Q&A session. Now, I would like to turn this call over to Mr. Kojima for closing remarks. 
Kazuo Kojima: Well, especially for the audience in Japan. Thank you for staying late until the evening, but also thank you for your questions and there may be some further questions on further details of the specific numbers. Please ask those questions -â€" if you have other question to the people in-charge in IR department. Thank you for attending today. 
Operator: Thank you. That concludes today's conference. Thank you for your participation and you may now disconnect. Thank you.